Barbara Amaya: Good morning, everyone. Welcome to Alpek's Fourth Quarter 2025 Earnings Webcast. I am Barbara Amaya, Alpek's IRO, and I am pleased to be here today with Jorge Young, our CEO; and Jose Carlos Pons, our CFO, who will be presenting today's material. Today, we'll be covering the following topics. First, Jorge will walk us through the key highlights for 2025. Second, Jose Carlos will cover the financial results for the quarter. Third, Jorge will discuss our outlook for 2026, followed by Jose Carlos, who will delve into our guidance figures. Then Jorge will outline our strategic priorities for 2026. And finally, we will conclude with a Q&A session. Please note that the information discussed today may include forward-looking statements regarding the company's future financial performance and prospects, which are subject to certain risks and uncertainties. Actual results may differ materially, and the company cautions the market not to rely unduly on these forward-looking statements. Alpek undertakes no obligation to publicly update or revise any forward-looking statements, whether it is as a result of new information, future events or otherwise. We express our financial results in U.S. dollars unless otherwise specified. For your convenience, this webcast is being recorded and will be available on our website. Jorge, I'll turn the call over to you.
Jorge P. Young Cerecedo: Good morning, everyone. Thank you for joining us today. Throughout 2025, amid the continuation of a challenging environment for the chemical industry, our teams worked diligently on actions within our control to strengthen our financial position and solidify our global operations. Alpek's financial and operating results were largely impacted by global overcapacity, resulting in a difficult year, particularly for our Polyester business. We also executed several planned but longer-than-expected maintenance outages. By contrast, our Plastics & Chemicals businesses delivered a more stable performance. As a result, our full year comparable EBITDA totaled $489 million, down 30% from last year. I would like to emphasize that our focus on strengthening our financial position has led to a sequential improvement in our operating free cash flow, which was $163 million, a considerable improvement of 57% from previous year, demonstrating the company's resilience and financial discipline. We continue to execute our previously outlined 4 strategic pillars, which play a key role in reinforcing the company's competitiveness. First, strengthen our core business. We advanced on our targeted footprint optimization by ceasing PET operations at the Cedar Creek facility and relocating that capacity to more competitive larger assets. As a result of this initiative, we expect to realize a benefit of approximately $20 million in 2026, which will partially offset broader macroeconomic headwinds. Second, financial flexibility. We maintained disciplined capital allocation, optimized our net working capital and executed debt refinancing. These actions strengthened our liquidity and extended our maturity profile. Additionally, we also suspended the dividend and made progress in the monetization of nonstrategic assets, which are expected to materialize in 2026. Third, boosting growth. We advanced the development of high-margin solutions in our PET thermoform and EPS businesses and continued expanding our specialty products in our polypropylene businesses. This supports portfolio differentiation while providing incremental EBITDA over time. And fourth, capitalizing on opportunities. Beyond the developments already discussed, we have been selectively expanding outside the petrochemical industry, mainly through our energy commercialization business, particularly by expanding recently to the power sector, which we expect will support growth over the coming years. Finally, a major milestone in 2025 was the successful spin-off and merger with Controladora Alpek, fully establishing Alpek as an independent entity with a streamlined corporate structure. Now I will turn the call over to Jose Carlos to provide our financial performance in greater detail.
José Pons: Good morning, everyone. Let me walk you through our quarterly results. Starting with our Polyester segment, volume was 836,000 tons, down 10% both sequentially and year-over-year, reflecting softer demand and longer-than-expected planned maintenance outages at several of our sites. These operational factors weighed in on production in the short term. However, we have since resumed most of our operations. On an annual basis, seasonal effects were stronger alongside the strategic decision to exit low-margin PTA and PET exports. Polyester comparable EBITDA totaled $41 million, a 53% decrease versus the third quarter, pressured by lower volumes, weaker margins and historically low ocean freights. On a year-over-year basis, oversupply, trade-related dynamics and global freight costs impacted performance. By contrast, the Plastics & Chemicals segment continued to deliver stable results. Volume was 184,000 tons, decreasing 6% quarter-over-quarter and 7% year-over-year, reflecting softer demand in both periods. Plastics & Chemicals comparable EBITDA totaled $55 million, up 17% sequentially and 50% lower year-over-year as steady margins helped offset softer volumes and typical seasonal effects. Together, our segment resulted in a volume of 1.02 million tons, decreasing 9% versus the previous quarter and year-over-year. Our reported EBITDA totaled $70 million, a 40% decrease quarter-on-quarter as a reduction in commodity prices and feedstocks resulted in a $29 million inventory adjustment, primarily in the Polyester segment as paraxylene saw a 7% sequential decrease. Relevant reference margins for our Polyester segment saw more stability compared to last quarter, yet remained pressure. For our Plastics & Chemicals segments, reference margins were steady. Finally, comparable EBITDA was $100 million, a 27% decline versus the previous quarter. Looking at our full year free cash flow and capital allocation, we saw a net working capital recovery of $50 million, supported by optimizations and lower volatility in raw material prices. These efforts are aligned with our cash generation goals. CapEx for the quarter totaled $51 million, consisting of $41 million in maintenance and $10 million in strategic CapEx, aligned with our priority and planned maintenance across multiple sites. This resulted in an annual CapEx of $170 million. Full year operational free cash flow totaled $163 million, a significant improvement of 57% on an annual basis, demonstrating solid cash generation and Alpek resilience amidst a challenging environment. Moving to our balance sheet and financial position. Leverage ended at 4.4x net debt to EBITDA, reflecting lower last 12 months reported EBITDA amid sustained low margin levels. The company is implementing additional measures to strengthen its balance sheet as a prolonged cycle recovery is expected and deleveraging continues to be a top priority. Notably, pro forma leverage would have resulted in 3.9x, adjusting for footprint optimization and restructuring costs. Net debt was $1.8 billion, flat versus the previous quarter, yet we were able to decrease it by $44 million versus 2024, a solid accomplishment in the current market context. We remain financially flexible entering 2026, given the successful debt refinancing, solid cash generation, available committed credit lines and disciplined CapEx management. I'll turn the call back to Jorge to discuss our 2026 outlook.
Jorge P. Young Cerecedo: We approach 2026 with a cautious outlook as we expect macroeconomic conditions from last year to persist. Global oversupply continues to weigh on the industry. Although recent years have seen the initial progress towards capacity rationalization, further actions will be needed to improve the market balance. In parallel, we expect demand to remain soft. We also anticipate ocean freight costs to remain at relatively low levels, consistent with the significant reductions observed towards the end of 2025. Notably, we expect greater operational and financial stability in our polyester business in 2026, forecasting a modest improvement and relative stability in reference margins. Turning to our Plastics & Chemicals businesses. We expect profitability in this segment to be somewhat constrained in 2026. This is primarily due to capacity additions in North America, particularly tied to polypropylene, coupled with continued softness in EPS demand as construction markets have yet to show meaningful signs of recovery. Lastly, we expect our emerging business to remain on a growth trajectory with continued expansion and additional contribution to EBITDA in 2026. We remain confident in this segment's potential and we're targeting a doubling of its size over the next 3 years. With that in context, Jose Carlos will walk you through the detailed assumptions and guidance ranges for 2026.
José Pons: Our base case projects comparable EBITDA in the range of $450 million to $500 million based on the following assumptions: PET reference margins averaged $145 per ton, a 2% increase over last year's average. Ocean freight costs for South America at $75 per ton, a 40% reduction from 2025. Polypropylene reference margins at $0.13 per pound, a 7% margin compression and an exchange rate of MXN 18 per dollar, a 6% appreciation and minimal benefits from U.S. PET reciprocal tariffs. It is also worth noting that our base case assumes minimal contribution from nonstrategic asset monetization. The acceleration of successful closing of any of these transactions will represent offset to our expectations. Moving to the rest of the metrics. CapEx is set at $130 million, following our disciplined approach and commitment to operational efficiency. For the first time ever, we are now introducing a guidance figure for operating free cash flow, which is expected to be between $100 million and $150 million. This figure is further supported by our continuous efforts in cost control, capital allocation and net working capital optimization. And volume is expected to reach around 4.5 million tons. Given the prolonged industry low cycle, we expect our leverage ratio to stabilize around 3.5x over the next 12 to 18 months, subject to market conditions. Our long-term target remains at 2.5x, and we will continue executing our deleveraging strategy to reach it. Now in addition to the base case, there are potential drivers that could improve performance if they materialize. This include PET reference margins stabilizing at $155 per ton. I'd like to highlight that in January, the spreads averaged $171 per ton, recently reaching up to $190 per ton. While we view the current price discipline in China as a supportive factor, it is still early to assess whether it will hold. We will continue to track market dynamics and provide updates as appropriate. Ocean freight costs at or above $85 per ton for South America and exchange rate closer to MXN 19 per dollar, the successful monetization of nonstrategic asset sales and greater capitalization from U.S. pet reciprocal tariffs. Together, this represents a potential estimated upside of approximately $50 million to comparable EBITDA. It is important to highlight that these factors are not meant to be additive, and they will not occur simultaneously. Instead, they represent key variables that we recommend you track and they could contribute incremental value if conditions evolve in our favor. We will continue monitoring these elements throughout the year, and we'll update our expectations accordingly as visibility. Now Jorge will continue with our priorities for 2026.
Jorge P. Young Cerecedo: With our 2026 guidance now established, I'd like to wrap up by sharing how we will plan to execute. We're building on the same strategic foundations that serve us well in 2025 and remain firmly aligned with our long-term strategy. In our polyester business we're taking a differentiated approach across the portfolio. In the commodity segment, which includes PTA and PET resins, our focus is on integrated scalable assets serving attractive domestic markets, primarily in the United States, Brazil and Mexico. As such, we will continue to work on footprint optimization. A clear example this year is our decision to suspend operations and the Reading recycling facility. Following the shift in demand towards virgin materials, we are allocating capacity to our Richmond facility, which offers a more cost-competitive network. The higher other value polyester, which includes PET sheet and thermoform, we're advancing targeted low CapEx investment to the bottleneck operations in the Middle East and strengthening our product development capabilities. Second we're scaling our position in a fast-growing segment and increasing our exposure to higher margin application. Turning to our Plastics & Chemicals segment. Our strategy is to fully leverage our most competitive regional assets while expanding into higher performance and specialty solutions. We will start ramping up investments made last year, particularly for EPS specialties. And we will also start a multiyear growth project focused on differentiated polypropylene. We believe this opportunity will become key EBITDA contributors moving forward. Emerging business continues to improve, particularly in energy commercialization. We view this as a promising path to diversify our portfolio and reduce exposure to the petrochemical cycle. Financial flexibility remains the core enabler of our strategy. We remain committed to disciplined capital allocation, rigorous working capital management and the monetization of nonstrategic assets. Over the past year, we made meaningful progress on this front, and we expect to finalize the first phase of sales during the first half of 2026. We have identified additional properties in our region for potential sales. We will share further updates as we advance. In summary, 2026 will be a year of focused execution, delivering on near-term priorities while continuing to invest in long-term value creation. I would like to conclude by mentioning that Alpek has experienced difficult cycles over the past 50 years, and we have been successful at adapting and evolving the business as required. A good example of this is how we were able to exit the fiber businesses while moving into PET sheet business, which reflects a more attractive margin profile and value creation potential. We are confident that we will emerge from this low cycle successfully and that our focus on higher value-added products and specialty products will bring greater opportunities and growth over the following years. Barbara, I'll turn the call back to you.
Barbara Amaya: Before we start the Q&A, a brief reminder, materials and the webcast recording will be available on our website. [Operator Instructions] Our first question comes from Leonardo Marcondes.
Leonardo Marcondes: I have 2 from my side. The first one is regarding your guidance. Correct if I'm wrong, but I believe there was extraordinary OpEx spend in 2025 to improve operational efficiency that we should not see in 2026, right? So if you could walk us through your expectations in terms of OpEx for this year and if the lower expectation for freight rates have fully offset these lower OpEx that we were -- that we here we're expecting for this year. Also, there is a discussion regarding the [ hake ] benefit in Brazil that is going on right now, right? So if you could also help us to understand a bit better of how much it could impact your guidance for this year, this potential improvement in [ hake]. My second question is regarding the supply and demand balance in China. I think it was in November when the Chinese government organized a meeting with PET and PTA companies to understand the issues of the market, right? So my question is what have you heard from the Chinese market and companies regarding this meeting? And if there was any change of the government's approach toward the segment -- I mean, the Chinese government, right?
Jorge P. Young Cerecedo: Thank you, Leonardo. Thank you for your questions. Yes, regarding guidance in 2026, we're factoring some improvement in our operations. As we explained in 2025, we have some extended maintenance and some operational issues earlier in the year in 2025. But as you mentioned, some of that recovery is partially offset by our assumption of much lower freight costs that are very important to set the import parity prices. So that's the -- that, in general, would answer your first question. Part B of your first question regarding the rake benefits in Brazil. I think that's an important development. First and foremost, recently, those incentives for the chemical industry, especially for those companies consuming basic petrochemicals and which in our case, our polyester business applies. Those benefits were confirmed for the period 2027 and through 2031. So that's a significant accomplishment. Our support and participation in the ABIQUIM, the Chemical Industry Association was very meaningful. And we are very happy to that those were confirmed and those are important and meaningful. 2026 was not initially included in the package of benefits. But right now, there is an effort that might result in 2026 also receiving benefits for the chemical industry. We don't have those incorporated in the guidance. And as you know, these programs of [ rate and persist ] have a combination of support on the acquisition of raw materials through reduced taxation and also support on selected capital investments. And the second question on China and yes, the efforts from the Chinese government and in general to adapt from this, what we call [ cutthroat ] competition that are driving margins to unsustainable levels. I think the positive thing that we get at this moment is that there is more acknowledgment of the issue. And as Jose Carlos explained, some actions are already happening to begin 2026. We're not counting on those yet to be sustained. And that's where we are. So on the positive there is acknowledgment actions on the overcapacity needs to be taken. And again, this is not only in our industry, right, in the industries that we participate like polyester and plastics & chemicals of Alpek. This is in general a petrochemical and polymer situation that applies to many products.
Leonardo Marcondes: Yes. Just one follow-up regarding the [ hake]. Do you have any estimate on how much your EBITDA could improve for this year in case they approve the benefit of $5.8 million to the PIS/COFINS payment?
José Pons: We are still working on those calculations because I mean, it could be perhaps I'm not rounding maybe another $10 million to that guidance for 2026. And hopefully, it's a little bit more than that. We're just working on the calculations to make sure the final percentages are defined. And then if you know the details, there is also an overriding cap on how much of the benefit applies for the whole industry. So once all of the things settle, we will have more details. But I would say order of magnitude for us, maybe around 10.
Leonardo Marcondes: That's clear. That's clear.
José Pons: And that's for 2026, right? And again, we would expect potentially similar or even slightly higher benefits for the period of 2027 through 2031. I think this was a major accomplishment for a portion of the petrochemical industry in Brazil, especially the one that consumes very basic petrochemical feedstocks like it is the case for us on paraxylene.
Barbara Amaya: Our next question comes from Thiago Casqueiro from Morgan Stanley.
Thiago Casqueiro: I have 2 questions here from my side. The first one, I mean, I know it has been a very challenging environment for the petrochemical industry and that the key goal of the company is to reduce leverage towards the 2.5x in the long term. But I would like to understand when would the company start like discussing the possibility of paying dividends this year if this opportunity appears in the future, obviously. Would it be only when leverage target is reached or it could be discussed before that? Because despite all this the pressured environment we see right now, we also see that the free cash flow profile for the year looks quite healthy. And the second question is related to protection measures. So kind of a follow-up on Leo's question. Well, we have seen in Brazil some government actions aimed at protecting domestic industry and preserving competitiveness recently, also with [ hake ]. So beyond the potential upside from the US PET tariffs that you mentioned in the release and today in the webcast, are there any other items on the government agenda, either in the U.S. or in Mexico that could represent additional upside to the guidance you provided?
José Pons: Thiago, thank you for your question. Regarding your first question in terms of leverage, I would say that we would like to devote the free cash flow that we will have this year to deleveraging the company. That will be our top priority. We want to get closer for the 2.5x that it's our target. And therefore, we are not expecting to have a dividend this year. I mean you know this industry, this situation and the circumstances could change all of a sudden. If we get closer to our leverage target and improved performance in the company. Well, certainly, that could be on the table, but we will devote the majority of our efforts to deleveraging now.
Jorge P. Young Cerecedo: I will comment on your second question that pertains to, what you've mentioned, you define protection measures. And well, I think the efforts -- I mean, that's a very important area of focus for us, and we have efforts pretty much in all the countries where we participate. And again, it's not only something that we do as Alpek only, right? I mean this is something we do in conjunction with relevant industry on each country. And you see significant activity happening across other petrochemicals as well. Just to comment on the one on US [ PET ] tariffs because there's still some uncertainty, I think as Jose Carlos mentioned, we are yet to see more benefits. That is something that we were able to capture going into 2026. Somewhat is masked by your assumptions on margins remaining at relatively low levels or ocean freight still coming down. But even with that uncertainty, I think we see interest on the current administration in the United States to protect local manufacturing. And I think even if the Supreme Court comes with a ruling that doesn't confirm the tariffs, I think there will be parallel mechanisms. Again, we as an industry and as Alpek continue to work in evaluating other paths in parallel in pretty much all the countries where we are participating. So some of these details, we will share as information becomes public. But as I mentioned, this is a very important area of focus across all our key relevant markets.
Barbara Amaya: Our next question comes from Ben Isaacson from Scotia.
Ben Isaacson: You hear me okay?
Jorge P. Young Cerecedo: Very well.
Ben Isaacson: I just have one question only. And the question is, is there a strategic or financial rationale for having both the Polyester and the P&C segments together? Do you think that your stock suffers from a discount that could be improved if those businesses were separate? What are the reasons to keep them together?
José Pons: Thank you, Ben. Thank you for your question. This is Jose Carlos. Very good question. Certainly, we believe that as of today, we see benefits in having a larger company merging or having the both divisions together. We have efficiencies in SG&A and other operational metrics. So clear, at this moment, the rationale and the benefits are better than having 2 split companies. But certainly, we're doing work in 2026 to review our portfolio and see if there are opportunities for us to divest, which implies that your question, certain portions of our portfolio, certainly with the key objective of deleveraging the company.
Barbara Amaya: Our next question comes from Andres Cardona from Citi.
Andres Cardona: I have a quick question on the guidance. If you could help me to understand on the Polyester segment, how much of the volume has been contracted [indiscernible] for 2026? If I remember correctly, in an average year, it is around 60%. So just trying to understand how [indiscernible] the guidance is.
Jorge P. Young Cerecedo: Yes, Normally, I would say 70% to 80%, especially in North America. And perhaps also in South America is a little bit less and the Middle East a little bit less in those percentages. So maybe all in all, it's about 60%. But coming back to North America, in that range of 70% to 80%, probably we're still more towards the lower end of the range, again because of the some level of uncertainty on what will happen, the visibility that what will happen with tariffs. So yes, I mean, potentially in a more favorable environment on tariffs, there could be still some upside. And we did capture that in the -- together with other variables in the additional range that Jose Carlos described. As you know, we provided the guidance in a base case and we see this year more upsides than downsides on the guidance, and we encompass all of them together in the second [ quarter].
Andres Cardona: Thank you for the scenarios that you present. It's something that I find very helpful.
Jorge P. Young Cerecedo: You're welcome.
Barbara Amaya: Our next question comes from Tasso Vasconcellos from UBS.
Tasso Vasconcellos: I have 2 here. One, Jorge, moving back to the asset sales. Can you remind us exactly what assets would you be willing to divest the most? And if you have any expected amount that you would be targeting to raise considering all of these divestments? And the second question is on that sensitivity that you released for the guidance for the year, the incremental EBITDA. In your view, what would need to happen in the industry, so those assumptions become a reality for the year? I have these 2 questions here.
Jorge P. Young Cerecedo: Sure. And so here on the first question about the asset sales. Right now, we have 4 pieces of property in the United States that are all of them in different degrees of negotiations or document preparation to complete the sale. I mean these are -- again, 4 assets where we had operations in the past. We have been working on those throughout last year. And I would say pretty much the 4 of them are converging right now into the, let's call it, the stretch time to finish the process. I think we have interested or counterparts that are concluding their due diligence. All those 4 property combines could potentially represent $50 million. And again, we feel very confident those will materialize in the first half. Maybe some of those in Q1, but I would say more likely most of them by the end of the first half of the year. And it's a meaningful $50 million contribution to our cash flow. So that's more or less what we have. On top of that, this is taking longer, perhaps more than 12 to 18 months. It's our largest site in Monterrey, where we used to produce fiber because that potentially has more value. But that is going to require -- is requiring more time as we need to -- that was an industrial site that needs to be prep for other potential uses. So we continue to make progress on that one, but we don't see that yet within the 2026 time line. I mean we will push for that, but that will likely spill over into the future. And right now, we are focused on these 4 assets in the United States. And on top of that, we have another propylene that are coming in Mexico and Brazil. And so there will be perhaps not as large, but another bucket for the second half.
José Pons: And just to complement, Jorge, we're planning to use all the proceeds of these sales to deleverage the company. That's our top priority. And everything that we get on those sales, we will use it to come back to our 2.5x target.
Jorge P. Young Cerecedo: Yes. I think on the other part of the question, I mean, we laid out the key variables, right? What needs to happen? I mean, for example, in margins, global margins the industries in general are under significant pressure. Again, as we mentioned in the previous question, it's a positive signal that in China, even in China, there is acknowledgment that the margins went to unsustainably low levels. We see a small rebound to begin the year. So if that stays, that obviously that support for the guidance. And the other one important one if the uncertainty on tariffs it's removed and there is more certainty on tariffs, that will eventually drive more volume and margin opportunities that we will capitalize that process again is taking longer, right, given the lower visibility on tariffs, but that's potentially the other one. We just mentioned the rate benefit in Brazil. We didn't capture that in our range, but that's going through the chambers now. So that's the other one. But more importantly for us is to focus on operating our assets very well. I mean, for us operating our facilities very safely and with pristine reliability is how we can best help ourselves. So that's [indiscernible]. Just to give you a flavor, right? So many variables combining into one range, but that's more or less what we see today.
Barbara Amaya: Our next question comes from Alejandra Andrade from JPMorgan.
Alejandra Andrade Carrillo: I just wanted to understand from you guys, what do you think the time line could be to realistically get back to your target leverage? And also, I'm just curious if you've had discussions with the rating agencies given your current outlook on how patient they'll be in terms of your delivery to get leverage down to your target?
José Pons: Thank you, Alejandro. Thank you for your question. To be completely clear, we don't expect to get to the level of 2.5x this year. It's something that can happen in 2027. So we're working towards that. Of course, if we get some of the upsides that Jorge already pointed out. If we are successful in selling those nonstrategic assets that I already mentioned, and there might be a second wave of other divestitures. Well, that could speed up the process and maybe by year-end this year. But at this moment, our base case is that this could happen in 2027. In terms of our rating agencies, we've had a close conversation with all of them. We have updated them on the performance of the company and our perspective for 2026. Well, the conversation is fluid, and we're working with them to see not only this year's performance, but all the things that we're doing to improve our leverage and the commitment that we're doing. So no decision from them, and we will continue to work together with them to keep us updated.
Barbara Amaya: Our next question comes from Milene Carvalho from JPMorgan.
Milene Carvalho: So I have 2 matters that I want to approach here. So first one is the diversification to power that you mentioned in the presentation. So what do you see as the benefit in this segment? How can you operate this? And is there any strategic CapEx forecasted for 2026 in the segment? And the second question is regarding severe weather conditions that we saw early this year. Is this somehow impacting your production? What should we expect in the first Q specifically into this situation?
Jorge P. Young Cerecedo: On diversification to power I think for us, this is a very significant opportunity. We have amassed over the last decades significant know-how in energy markets, especially in Mexico by expanding into others like Brazil. But our focus has been mostly on being a very reliable supplier. But more than a producer, we commercialize energy, both in more historically as natural gas and more recently we're incurring in electricity. For the most part, this does not require CapEx. Again, I think over the years, it's a matter of developing know-how and having the right permits and certified experience because there are barriers of entry. And again, I think it's capitalizing on a strength that we have and it's becoming a very interesting area of focus for us. Would you mind framing again the second question?
Milene Carvalho: Sure. So the second question was regarding the severe weather conditions that we saw earlier in 2026. So there was a lot of activities across U.S. that was just shut down. I wanted to understand if somehow this has compromised your production or first quarter expectations.
Jorge P. Young Cerecedo: Did not disrupt our operations. I think there were 2 waves of very cold weather. In one, we took short proactive shutdowns in the United States, but are not going to be very material for our financial purposes. We will see though some impact on higher natural gas prices because the -- although natural gas prices have already come down again to where they were before the cold weather waves. In the meantime, the February contract prices of natural gas in North America ended up on the high side. I think we will see that impacting our energy cost in February. But not -- I would say no -- I mean we weather the storm fairly, fairly well.
Barbara Amaya: Our next question comes from Federico Galassi from Rohatyn Group.
Federico Galassi: Two quick questions. The first one is in your guidance and potential drivers you are using the FX at MXN 19 per U.S. dollar. The question is how is the sensitivity to the Mexican peso or U.S. dollar depreciation? This is the first one. And the second one, in the guidance, are you including all the positive impact for the increase in tariff in Mexico last year? That's both questions.
José Pons: Thank you for your question. Quick answer on the exchange, MXN 1 more or less it's equivalent to $15 million of benefit or cost depending on how you see it. And the impact, yes, we're including a portion of what we saw in Mexico on the protection against Chinese and other imports. So yes, that's included already in our forecast.
Barbara Amaya: Our next question comes from Chelsea Colon from Aegon Asset Management.
Chelsea Colón: I just have a few quick ones. Firstly, to clarify, you mentioned around 3.5x net leverage by the end of this year. Does that consider that $50 million-ish in asset sales? And also, is that calculated based on your comparable EBITDA guidance?
José Pons: No. The short answer is yes. The 3.5x would require us to sell the nonstrategic assets, and it's based on reported EBITDA because that's the way our banks measure our covenant compliance.
Chelsea Colón: Okay. Great. And then with regard to the emerging businesses that you mentioned, you're trying to double in size over the next 3 years. Can you provide some context as to how relevant those businesses are right now from an EBITDA perspective? And so what does like a doubling mean? Like how relevant is it?
Jorge P. Young Cerecedo: On that question on emerging business, when you look at our numbers, we have our 2 key segments and then we have the line others. So it's commingled there with a few other corporate -- smaller corporate adjustments that we have. And it's our goal that maybe over the next 4 to 5 years, that line reaches closer to 50. So that will give you a good idea. I think we expect to be perhaps in the 20s this year of 2026 and again, doubling for that. That will be our goal towards the 4 to 5 years from now. And obviously, we will be more ambitious than that. This is to give you a flavor of what we are seeing and flavor of the magnitude, but that doesn't prevent us for pursuing that goal faster or at a higher level.
José Pons: And maybe a portion of those emerging businesses are within the -- already the polyester and the polypropylene, those -- because it was presented by Jorge that we're also entering into high value-added products within our core businesses, and that's not included in the others. So it's really just the power and some other things that we're doing in the others.
Chelsea Colón: Okay. Got it. And then lastly, I'm just curious, with the closing of the Reading facility, you mentioned that there's more demand for virgin resin versus recycled. Can you just elaborate on like the reason for that? Is it just a cost issue for clients?
Jorge P. Young Cerecedo: Recycling continues to be a very important priority for us and for our customers. It's very important for the sustainability of PET packaging. But yes, recently, I mean, there are some issues that we observed the prices of virgin PET are low. And again, some of the -- there is a growing path towards increasing recycling content. But sometimes that comes with some success. And I think we see at least in the medium term, the opportunity for us to -- at least for our key customers to supply that recycling content through our other facilities, which include, as we mentioned, our Richmond facility in Indiana. And also we have recently increased our capability to add recycling content through a technology we call Single Pellet Technology, where we add recycling feedstock into a virgin PET plant and the final product is a PET with, let's say, 25% recycling [ content ]. So we're using those 2 tools or assets to continue this growth path. But to your question, there is also some shift -- small shift back to virgin given the economic pressures that the industry is facing and that reflects also the decision of some of our customers.
Chelsea Colón: Okay. And at this stage, the idea to potentially open the running facility at some point? Or is that likely to be permanently closed? And then also, can you tell us how much you expect in cost savings from that? And also on the flip side, like any extraordinary costs related to the suspension like severance and whatnot?
Jorge P. Young Cerecedo: Yes. I mean this -- I mean just to give you orders of magnitude, in the short term, it might represent maybe between 5% and 10%, maybe closer to 5%, mid-single digits, mid- to high single digits in terms of savings. We remain with the possibility to restart the asset. But in not very significant shutdown costs, some, but not very significant. This is not a petrochemical plant and doesn't have the same complexities. But it will also -- our decision will come later, it will also depend on whether we can extract some value from those assets, right? So we will assess our options. So what we chose right now is to suspend the operation, take on the savings to keep supplying our customers from the rest of the assets that include the other recycling plant, other avenues we have to deliver recycling content to the customers, including what we call our Single Pellet Technology. So we took the savings and we'll wrap up for more strategic decision later in the year.
Barbara Amaya: Our next question comes from [ Andres Ortiz ] from BTG.
Unknown Analyst: I would like to have a follow-up on Federico's question on the incremental EBITDA. I understand your disclaimer, but I just want to understand, you mentioned that $1 is equivalent -- MXN 1 appreciation or depreciation is equivalent to $50 million impact. And you said that you see $50 million incremental EBITDA from for several reasons, and one of them was MXN 1. So I don't understand if you are seeing more incremental EBITDA from all this happening together or if every single one of them is $50 million, just to understand.
José Pons: Thank you, Andres. I'm sorry if I did not make the right number. MXN 1 is equivalent to $15 million of impact or benefit depending on where we see it. And maybe just a clarification, we presented there several opportunities to improve our results. What you see here is an assessment probability weighted that they could materialize around $50 million. In a perfect world with every single line item would materialize, certainly, they will be more than 5-0, $50 million.
Barbara Amaya: We received a couple of questions through the Q&A. I will proceed. First question was from [ Rodrigo Salazar ] from AM Advisors. Could you tell us where the spot metrics used in the guidance stand today?
Jorge P. Young Cerecedo: Yes. In our guidance, we said reference margins, which represent China PET margins at $145 per ton. Year-to-date, they are approximately $170 and the last data point is in the mid-$180.
Barbara Amaya: The next question that came to the Q&A comes from Pallavi Nagia from HSBC. Could you please provide an update on refinancing plans, particularly for the debt due in 2028 and 2029.
José Pons: Thank you for your question. Yes, certainly, we're exploring opportunities to refinance what we have in '28. We have a couple of proposals at this moment that we're exploring. There will be facilities that would take the maturities even further than 2032 or '33. And that will, again, take out pressure on any maturity coming due in the short term. We remain one of the key pillars of our financial strength is to have strong liquidity, which we have, a strong amount of committed credit lines, which we have and also not having any maturity due in the short term. So that's certainly one of the priorities. We are targeting to have that refinanced in the first half of this year. We'll keep you updated.
Barbara Amaya: And the next question Historically, increases in the oil price have led to improvement in margins and increasing international shipping costs. My question is, do you still see a correlation with the recent increase in oil price? Do you expect to have a positive in the EBITDA?
José Pons: It's a good observation. Yes, typically, oil prices will lead into higher raw materials, not necessarily shipping cost. Shipping cost, yes, oil is a variable that influences shipping cost. The shipping cost freight rates are mostly supply demand in that market. But oil prices will generally push raw materials a little higher. I think this is the first quarter in a while where we didn't have a significant inventory adjustment. We have been last year going through an environment of falling oil prices and falling raw materials. So this year, they stabilized. And if this rebound in oil continues, we should see, again, some support on higher raw material prices that will provide some -- potentially some improvement to our reported EBITDA on inventory restatements. However, our guidance excludes those effects, positive or negative, we are talking about comparable. But yes, definitely, it will be an influence of oil prices influence higher raw materials.
Barbara Amaya: Thanks, everyone, for your interest. That is all the time we have available for today. The IR team remains also available if there are any follow-up questions. Thank you for joining our webcast. We look forward to seeing you soon at our shareholders' meeting. Have a great day.